Operator: Ladies and gentlemen, good morning, and welcome to the Lovesac's Second Quarter Fiscal 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Ms. Rachel Schacter of ICR. Please go ahead.
Rachel Schacter: Thank you. Good morning, everyone. With me on the call is Shawn Nelson, Chief Executive Officer; Mary Fox, President and Chief Operating Officer; and Keith Siegner, Chief Financial Officer. Before we get started, I would like to remind you that some of the information discussed will include forward-looking statements regarding future events and our future financial performance. These include statements about our future expectations, financial projections, and our plans and prospects. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, you should review the company's filings with the SEC, which includes today's press release. You should not rely on our forward-looking statements as predictions of future events. All forward-looking statements that we make on this call are based on assumptions and beliefs as of today, and we undertake no obligation to update them, except as required by applicable law. Our discussion today will include non-GAAP financial measures, including EBITDA and adjusted EBITDA. These non-GAAP measures should be considered in addition to, and not as a substitute for, or in isolation from our GAAP results. A reconciliation of the most directly comparable GAAP financial measures to such non-GAAP financial measure has been provided as supplemental financial information in our press release. Now, I'd like to turn the call over to Shawn Nelson, Chief Executive Officer of The Lovesac Company.
Shawn Nelson: Thank you, Rachel. Good morning, everyone, and thank you for joining us today. I will start this call off by reviewing the highlights of our second quarter fiscal 2024, briefly providing an update on our operational accomplishments and finishing up with our outlook. Then Mary Fox, our President and COO, will update you on the progress we made against our strategic initiatives. And finally, Keith Siegner, our new CFO will review our financial results and a few other items related to our outlook in more detail. Before diving in, I want to thank everybody for their patience as we work through our financial restatement. We hold ourselves to very high standards of integrity, accuracy and reliability of our financial statements is paramount. As of today, all amended filings are complete. Additionally, we're enhancing teams and implementing procedures and disciplines as we work to build a world-class organization able to support growth for years to come. Moving on to our results. We're pleased with our second quarter performance with top and bottom line exceeding our initial outlook provided in June. The economic environment remained challenging as macro pressures drove a more cautious consumer in turn, keeping pressure on the home category. While we also felt pressure, Lovesac operated from a position of strength, leveraging our 25th anniversary campaign and omnichannel expansion to continue our track record of outperforming the category and achieving positive net sales growth. Not to be overlooked, we delivered growth despite a difficult comparison lapping top line growth of 45% in the second quarter of fiscal 2023. Specifically, total net sales were $154.5 million, up 4% versus the prior year period, supported by total comparable sales growth of 7.2% for the quarter. On a two-year basis, net sales grew an impressive 51%. Adjusted EBITDA was $5.3 million as compared to $12.3 million in the prior year period. As expected, gross margin expansion was more than offset by important investments in growth. Deleverage in marketing and advertising resulted from our 25th anniversary celebrity campaign and the launch and support of our Angled Side innovation, both of which will benefit us in the coming quarters. We also continue to make necessary and disciplined infrastructure investments to ensure we have the foundations for category beating profitable growth for the long-term. The pressure from the investments will abate later this year as we'll talk more about that in a few minutes. Operationally, we made good progress on our initiatives to strengthen our Infinity flywheel that supports our differentiated business model. Mary will discuss in detail the progress on specific growth strategies but let me provide a brief update. On the product innovation front, as previously discussed, we formally launched Angled Side in the quarter. Angled Side offers benefits to augment both aesthetics and comfort, importantly, addressing the number one style gap we identified in our research. By opening the aperture of potential customers we're reaching, more new and existing customers and seeing meaningful contribution every week since the launch of the Angled Side. We continue to wisely expand our physical footprint supporting awareness and benefiting our e-commerce sales, altogether, delivering a seamless omni-channel experience to our customer. We're driving marketing efficiency with new tactics, including hyperlocal marketing to drive traffic. Lastly, we are still carefully investing in technology and R&D to fuel continued innovation to further elevate the entire customer experience and to ensure that we have a strong foundation to support the long runway of growth ahead. Looking to the second half of the year, we expect the macro environment to remain challenging, continuing to pressure the home category. We are not planning for any meaningful recovery in category growth this fiscal year. In terms of the promotional environment, we expect it will be more competitive as we head into holiday season and anticipate more frequency and depth of discounting across the industry. We've adapted our own plans accordingly, and we'll remain very agile through the holiday season. Even taking this into account, which doesn't change our confidence that Lovesac will continue to outperform the category and yes, generate stronger growth in the second half than the first half. This is clear in our guidance where we estimate third quarter revenues of approximate $154 million and are tightening the range of our fiscal 2024 net sales guidance to $710 million to $730 million nationally.  Given the macro back drop we are highly caused operationally we are focused on efficiency and will control expenses very tightly. This will become more clear, as we lap necessary foundational investments that began in the second half of fiscal 2023, and which put peak pressure on bottom line growth in second and third quarters this year. After adding in some discrete expenses, primarily professional fees related to the restatement of approximately $4 million, we now anticipate fiscal 2024 net income in the range of $20 million to $29 million. In summary, we have an unwavering commitment to the customer, delivering our unique design for life platforms through circular operations and an omni-channel experience. We're pleased with our performance thus far in fiscal 2024. Growing net sales and comping positively in a declining category, while funding essential investments in long-term growth and maintaining a very healthy balance sheet. We're committed to operating the business with great discipline as we navigate the current environment and build on our track record of market share gains, which will become more evident in the coming quarters. We're confident in the future. And we believe that we are well-positioned to deliver on our outlook for the remainder of this fiscal year and capitalize on any opportunities the macro backdrop offers. I want to extend my gratitude and appreciation to our Lovesac team. It is their execution that enables our best-in-category financial and operational performance and drives my confidence and excitement in our future. With that, I'll hand it over to Mary to cover our strategic priorities and progress in more detail. Mary?
Mary Fox: Thank you, Shawn, and good morning, everyone. We're pleased to have extended our track record of industry leading growth for quarter two and also quarter three, as you can see from our preliminary results. Our second quarter net sales growth of 4% continues to be significantly ahead of the category, and more importantly, is up 221% on a four-year basis to give a comparison to pre-pandemic levels. And even with the planned SG&A deleverage that Shawn mentioned, adjusted EBITDA margin has increased over 1,000 basis points over the same four-year time period. It is our unique and compelling design for life platform and the virtually unparalleled value proposition it offers that enables us to continue to profitably take share even with current market dynamics. With a clear strategy for growth and crisp execution by a team that is coalesced around the priorities that support our growth strategy, we continue to drive operational excellence across the business and make progress as illustrated by the highlights I will now share with you. Firstly, starting with product innovation. As previously announced, our highly anticipated new product introduction, the Angled Side first launched in May in conjunction with our 25th anniversary brand campaign. Our customers have been very receptive. As we have discussed before, Star was the number 1 reason, customers left our purchase funnel and the Angled Side addressed our biggest opportunity around disparity to purchase. But the benefit is not only aesthetic, we also received strong feedback on enhance, comfort from existing and new customers. During third quarter, we expanded distribution and the Angled Side has now been available across our showroom base as well as our e-com platform since the end of July. A full media campaign launched during the summer is support and helped drive Angled Side as a percentage of total size sold to over 40% in recent periods. We believe we will continue to gain market share through this new product introduction as awareness and appreciation continues to grow. Secondly, our omnichannel experience. We continue to execute as a true omnichannel retailer through a combination of our physical touch points and digital platform. During second quarter, we opened 18 showrooms and three Best Buy shop-in shops. Our success in driving strong efficiencies in the time from construction to opening enabled us to pull-forward some openings with 15 of the 18 showrooms opening ahead of our original schedule. With regards to our Costco partnership, sales were up 15% in Q2, driven by increased pop-up shop presence versus last year. Our e-commerce channel performance continued to impress, up 12.8% for last year including costco.com and bestbuy.com and contributing meaningfully to our category outperformance. Underlying all channels and proof that our plan is working, our customer satisfaction scores continue to improve and increase sequentially, driven by surgical initiatives in enhancing the digital experience and customer service improvements with technology investments in our customer loved teams. Thirdly, our brand ecosystem. Our efficient marketing, including our strong customer lifetime value to customer acquisition cost ratio lies at the center of our ecosystem and serves as an effective driver of fans awareness and customer acquisition. The back end, we are being very selective about marketing where the traffic is and where the eye bills are, as we continue to widen our customer aperture with both product innovation and marketing strategy and tactics. We continue to deploy new marketing tactics, including continuing to invest in high ROI performing programs and growing hyper local marketing to drive relevant traffic to our touch points. We remain focused on customer acquisition and have been utilizing vehicles such as direct mail campaigns that deliver strong ROIs for us. As previously mentioned, we've also begun leveraging prime and linear TV buys to continue to drive reach and strengthen our brand love. The objective of our launch of Angled Side was to broaden our aesthetic appeal to address the segment of the market that we were missing with our current assortment. So we partnered with Architectural Digest, a leader in style to launch the product. The launch partnership included content and advertisement on architecturaldigest.com and their partners as well as the launch event in New York City with designers and influencers, which generated additional content driving awareness of the launch. To-date, we are over 750 million impressions from this launch partnership and really pleased with not only the reach, but also the quality of the coverage. Regarding our circular operations initiative, we have made good progress on our open-box inventory as we focus on improving the executional effectiveness and brand experience. And we are seeing over 20% improvement in returns back to start versus last year as one key measure for this initiative. And then lastly, disciplined infrastructure investments and efficiency. For fiscal 2024, we are investing in the areas of technology and research and development to best fuel our Infinity Flywheel. We are focused on continuing to enhance customer satisfaction through continued delivery of orders in just days. In addition, we believe our recent investments in supply chain will help drive inventory product improvements of 20%. We're pleased with the team's progress so far and are on track to deliver this by year-end. As we've said before, we expect these initiatives will drive a significant improvement in efficiency of working capital as well as associated cost reductions across inbound freight and warehousing, which we started realizing in quarter three and will continue to realize in quarter four. Our AI pilots that we mentioned last quarter provides generative AI-guided experiences to our customer-facing service associates to improve customer service and we're pleased with initial results. So it is still very early. We continue to believe this has the potential to enhance the overall customer shopping experience and we are already seeing the benefits in the specific customer service satisfaction for improvement. As part of our people infrastructure investments, we recently appointed Carly Kawaja as our new Chief People Officer, as we continue to build our capabilities and evolve the organization strategically so that we can effectively scale the business. Through leveraging our extensive human resources experience we will be very strategic, building our organization through an optimal balance of human resources and impactful and efficient technology capabilities. Make no mistake, we are laser focused on operational excellence as we manage our cost structure and capital allocation. As Shawn mentioned, this will become more evident in coming quarters as deleverage abate. In summary, we're pleased with our year-to-date performance and are ready to deliver the all-important fourth quarter. We're very proud of our team and their continued execution against our strategic initiatives, which in turn further strengthens our competitive positioning and powers our Infinity flywheel. I will now pass the call over to Keith to review our quarter two results and our outlook for quarter three and the balance of the year. Keith?
Keith Siegner: Thank you, Mary. Before I get started, I want to express how excited I am to be here today as part of this amazing team that this remarkable brand, this truly differentiated business model. After having spent 16 years covering consumer companies on Wall Street, then being part of the leadership and a large-cap consumer company and the start-up, I can say the outlook for profitable growth at Lovesac is truly special. Between continued growth and market share gains for Sactionals and Saks, introduction of new products and categories and eventual geographic expansion, the opportunity is immense. All right. On to a quick review of second quarter, followed by our outlook for the rest of fiscal 2024. Net sales increased $6 million or 4% and to $154.5 million in the second quarter of fiscal 2024, with the year-over-year increase driven by web and showrooms. This was in line with what we projected for the quarter driven by our July 4th promotional campaign and 25th anniversary celebration. Showroom net sales increased $5.8 million or 6.3% to $98.2 million in the second quarter of fiscal 2024 as compared to $92.4 million in the prior year period. The increase in Showroom sales was driven by an increase of 2.7% in comparable Showroom sales related to higher point-of-sale transactions with lower promotional discounting than the prior year, and the net addition of 49 net new showrooms compared to the prior year period. As a reminder, point-of-sale transactions that we reflect in our comparable sales metrics, represent orders placed through our showrooms, which does not always reflect the point at which control transfers to the customer and when net sales are recorded. Internet net sales increased $5.9 million or 16.6% to $41.4 million in the second quarter of fiscal 2024 as compared to $35.5 million in the prior year period. Other net sales, which include pop-up shop, shop-in-shop and open-box inventory transactions decreased $5.7 million or 27.7% to $14.9 million in the second quarter of fiscal 2024. The decrease was principally due to a lower open-box inventory transactions, only $2.8 million compared to $9.5 million in the second quarter fiscal 2023. As a reminder, our open-box inventory transactions with ICON are a part of our circular operations, design for life and ESG initiatives. We're making great progress in reviewing all options for this returned product to align with our sustainability goals, and which should retain more profits for Lovesac at the same time. We expect some of these initiatives to ramp in Q4. In the meantime, we may engage in limited open-box inventory transactions with ICON to ensure our warehouses are operating as efficiently as possible. In fact, in the third quarter, we will have an incremental $2.5 million in open box sales, which are included in our outlook. By product category, in the second quarter, our Sactional net sales increased 3%. SaaS net sales increased 18% and our other net sales, which includes decorative pillows, blankets and accessories increased 12% over the prior year. Gross margin increased 650 basis points to 59.8% of net sales in the second quarter versus 53.3% in the prior year quarter, primarily driven by a decrease of 720 basis points in total distribution and related tariff expenses. This was offset partially by 70 basis points of pressure from higher promotional discounting. The decrease in total distribution and related tariff expenses over the prior year is principally related to the positive impact of 880 basis points decrease in inbound transportation costs, partially offset by 160 basis points in higher outbound, transportation and warehousing costs. As a reminder, the benefits of the decrease in inbound freight rates will continue in the third quarter albeit at a slightly lower level. SG&A expense as a percent of net sales increased by 840 basis points, primarily due to deleverage within employment costs, selling-related expenses tied to the Lovesac credit card and continued investments to support current and future growth as well as professional fees. In dollars, employment costs increased by $5.7 million, primarily driven by an increase in new hires in fiscal 2023. Overhead expenses increased $6.2 million, consisting mainly of increases of $3 million in professional fees and $3.2 million in infrastructure investments in other miscellaneous items. Rent increased by $0.9 million related to $1.9 million rent expense from our net addition of 49 showrooms, partially offset by $1 million reduction in percentage rent. We estimate non-recurring incremental fees associated with the restatement of prior period financials was approximately $1.7 million in the second quarter. Advertising and marketing expenses increased $7.4 million or 39% to $26.5 million for the second quarter of fiscal 2024 compared to $19.1 million in the prior year period. Advertising and marketing expenses were 17.2% of net sales in the second quarter as compared to 12.9% of net sales in the prior year period. The primary contributor to the increased percentage was the launch of the 25th anniversary campaign. This will serve as the foundation for many of our marketing messages through the remainder of the fiscal year. Operating loss for the quarter was $1 million compared to operating income of $8.1 million in the second quarter of last year, driven by the factors we just discussed. Before we turn our attention to net loss, net loss per diluted share and adjusted EBITDA, please refer to the terminology and reconciliation between each of our adjusted metrics and their most directly comparable GAAP measurements in our earnings release issued earlier this morning. Net loss for the quarter was $0.6 million or negative $0.04 per diluted share compared to net income of $5.8 million or $0.37 per diluted share in the prior year period. During the second quarter of fiscal 2024, we recorded an income tax benefit of $7,000 as compared to a $2.3 million tax provision for the second quarter of fiscal 2023. The change in provision is primarily driven by the net loss for the quarter. Adjusted EBITDA for the quarter was an income of $5.3 million as compared to adjusted EBITDA of $12.3 million in the prior year period. Adjusted EBITDA for the second quarter was ahead of our expectations, principally driven by the upside to gross margin. Turning to our balance sheet. Our total merchandise inventory levels are in line with our projections, and have leveled out, as we discussed on our prior call. This is despite the addition of Angled Side SKUs, and we believe this is a clear highlight of the uniqueness of our business model. We feel exceptionally good about both the quality and quantity of our inventory and our ability to maintain industry-leading in-stock positions and delivery times. We ended the second quarter with a very healthy balance sheet, inclusive of $54.7 million in cash and cash equivalents as well as $36 million in availability on our revolving line of credit with no borrowings. Please refer to our earnings press release for other details on our second quarter financial performance. So now our outlook, and let's start with the fiscal third quarter. We estimate net sales of $154 million. This includes approximately $2.5 million of open-box inventory sales compared to $4.2 million in the third quarter of fiscal 2023. We expect adjusted EBITDA between positive $0.5 million and negative $1.5 million. This includes gross margins between 56% and 57%. Merchandising and advertising slightly above 14 as a percent of net sales and SG&A slightly above 44% as a percent of net sales. We estimate net loss to be $3.2 million to $5.2 million. This includes approximately $1 million of non-recurring incremental expenses associated with our restatement of prior period financial statements. We estimate diluted loss per common share is expected to be $0.20 to $0.33 with 15.5 million weighted average shares outstanding. Now, for the full year fiscal 2024. We are tightening the range of our full year outlook for net sales to $710 million to $730 million. We expect adjusted EBITDA between $51 million and $63 million. This includes gross margins of $57 million to $57.5 million merchandising and advertising of slightly above 13% as a percent of net sales and SG&A between 37% and 38% as a percentage of net sales. We estimate net income to be between $20 million and $29 million. These fiscal 2024 estimates include approximately $4 million of non-recurring incremental expenses associated with our restatement of prior period financial statements. We estimate diluted income per common share in the range of $1.21 to $1.75, and approximately 16.5 million estimated diluted weighted average shares outstanding. As a reminder, the 53rd week in the fourth quarter is expected to contribute approximately $6 million in net sales. Quickly on our cash balance outlook. Given the timing of new touch point openings and our planned flow of inbound inventory ahead of the seasonally strong fourth quarter, the third quarter tends to be our lowest quarter ending cash balance of the year. I'm pleased to share that we ended fiscal third quarter with approximately $37 million in cash, which is up substantially from $3.8 million at the end of third quarter fiscal 2023. As we monetize inventory through the busy season, we continue to estimate we will end fiscal 2024 with a higher net cash balance than we ended fiscal 2023. So in conclusion, we are pleased with our second quarter results. Market share gains, strengthening foundations, exciting new growth drivers and a healthy balance sheet, put Lovesac in an enviable position. I'm new here, but I'm already very proud of the team's execution and what continues to be a challenging macro backdrop as well as their exuberance for optimizing the opportunity ahead of us. With a strong focus on growth, underpinned by an ROI-based approach to measured reinvestment I'm confident in the outlook. I'll now turn the call back to the operator to start our Q&A session.
Operator: Thank you. Ladies and gentlemen, we will now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Thomas Forte with D.A. Davidson. Please go ahead.
Thomas Forte: Great. So congrats on the performance and welcome, Keith. I have one high-level question. I wanted to give you an opportunity to address the question, I guess, from investors a lot. You have a great business with a high gross margin, yet historically you have not generated a lot of free cash flow. What have been the limiting factors in the past for this? How might this change in the future? And when you get to a point where you're generating significant free cash flow, how do you intend to use it including reinvesting in the business, buybacks and strategic M&A? Thanks.
Shawn Nelson: Yeah. Thanks for the question, Tom. I appreciate where it's coming from. This is Shawn. Lovesac has been on a rapid growth curve for about a decade now. I think when we look at our CAGR going back many, many years, it's extremely high. Leading into the pandemic -- heading into the pandemic brought an unprecedented growth and we've just been focused on chasing that, chasing market share and building the business in the most profitable way that we know how. Now that we've achieved the scale that we're at today, I believe that even in real time, the evidence of free cash flow growing and producing the kind of results that you're -- I think investors would hope for and expect out of a business that's the cheapest kind of scale will be evident, and we're really excited about that. Obviously, here, we're reporting on Q2, which is a strong path, because of the restatement process. But we've given a flash on Q3. And while we haven't spoken specifically about cash, we feel really encouraged about those results and believe that the evidence of this business' ability to generate free cash flow will be obvious. And so looking forward to sharing more on that, I'll kick it to Keith who can probably give a little more insight.
Keith Siegner: Thanks, Shawn. So this is a topic that's near and dear to my heart. And I think listening to each of the three of us, both Shawn, Mary and myself, I think you would have heard a very clear commitment to a disciplined approach to reinvestment both in the organization and in future growth drivers. But just to put a couple of numbers around this in terms of proof in the pudding, you could say, look, SG&A deleverage, as an example, was a little over 840 basis points in the second quarter. When you build into your model, the G&A ranges that I gave you for the third quarter for the full year. What you'll see is that deleverage in SG&A in Q3, let's call it approximately half of what we had in 2Q and then when you see what falls out for fourth quarter, it's a substantial reduction even from there. So this isn't a fiscal 2025 only commitment. You're going to start to see this flow through in the next couple of quarters.
Thomas Forte: Thank you.
Operator: Thank you. Our next question is from the line of Maria Ripps with Cannacord Genuity. Please go ahead.
Maria Ripps : Great. Good morning and thanks for taking my questions. First, I just wanted to ask about your outlook for Q4, which implies a pretty wide range for revenue growth for your biggest quarter. Can you maybe just talk about what's implied in your assumptions, both at the lower and the upper end of your guidance? And then I have a quick follow-up.
Keith Siegner: Sure, thing. So I'll start with a couple of numbers around this, and then if Shawn or Mary want to add in some high level. It's basically a $20 million range on a big quarter given the macro backdrop that remains a little uncertain as you're hearing from pretty much everybody in the consumer category, particularly in our -- including in our close-in categories.  The way we're thinking about approaching that range is to plan prudently and allocate expenses prudently. We have a really unique business model that lets us react to upside surprises and demand much more quickly than others given that we're not merchandising led and can fulfill orders in retail inventory really quickly. So we think it's a better approach. We're going to know a lot more when we speak in a month post the all-important Black Friday holiday. But I think what we're trying to do is to show you we're going to manage this more prudently. The moving pieces really for us right now are, in general, macro conditions and macro demand within the category, number one. Number two, is the promotional environment. And you heard both Shawn and Mary talk about this before, how promotional is the category. We are approaching this from the perspective of slightly more promotional than we have been in the recent quarters, but still less promotional than we were pre-pandemic and less promotional than the peers. It's working for us. We're taking market share. We're expanding gross margins. We think that's the right way to approach this. And hopefully, that gives you a little bit of color about that range for fourth quarter. I don't know, Shawn or Mary, if you want to add anything else. Shawn?
Shawn Nelson: Yes, I think it's an uncertain time in the economy. We're being very prudent, as Keith said, and we're really happy that we have a business that is so dynamic and it has taken so much market share and it's so competitive in our landscape. And we're waiting to see, like I think the rest of the world, how to all unfold on the consumer side. But from what we're seeing so far, this is the best guidance that we can give, both looking at kind of the upside of it and the downside of it. And we're being really thoughtful. We're trying to build a business here that's here for 50 years, We're trying to -- at least we're trying to build a business that is a legacy brand that has staying power. We're not interested in short-term outcomes only. At the same time, we've been focused on building a profitable business that's been able to straddle very, very high growth while generating profits and as you'll see free cash flow. So, looking forward to the fourth quarter and we'll hope for a little upside as well.
Maria Ripps: Got it. Got it. That makes sense. And then secondly, sort of understanding that you're not providing guidance beyond Q4 and but just sort of how should investors think about key growth drivers next year, so maybe showroom expansion, shop-in-shop strategy, product roadmap. And then Keith, you sort of touched on this a little bit, but maybe talk about where across your P&L, you see the ability to be more efficient and maybe preserve margins if the environment continues to be challenging next year?
Keith Siegner: Yes. Thank you for the question, and I'm going to ask everybody for a little bit of grief and patience, given that this is my first quarter in the last couple of months, we were a little bit distracted with the restatement, which did slow my integration into the business a little bit. We'll have a lot more to talk about with fiscal 2025 here with fiscal third quarter results in about a month. But the way we kind of think about this is the moving pieces for market share gains really remain the same. It is intelligent and measured point showroom and touchpoint expansion. And it's going to -- you're going to see it across all of the same avenues that we've been doing, right? So you're going to see more Best Buy shop-in shops. You're going to see more through our other partner channels. You're going to see more formal showrooms. You're going to see more volumes through the website as well. We have a phenomenal customer experience and our configurator that's working for us, and I think we'll continue to pay dividends. So, all of that is going to remain the same. We'll have new product introductions that come throughout the year that are going to continue to drive interest in and love from our customers that will benefit the sales. When we move into cost, like we've said, ad nauseam throughout this call, we are going to be disciplined. It's not just on the SG&A side of things. It's also on the marketing side of things. We are seeing a lot of benefits from the 25th anniversary marketing campaign that we’ve discussed, but we won't have that same level of intensity as we move into next year from a percentage perspective. So I think what you'll hear from us is more of the same, which is working, right? It is growth, profitable growth, market share and better conversion to the bottom line in cash flows than we've seen in the past. So more to come on that, but it really is more of the same.
Maria Ripps: Got it. That's very helpful. I appreciate the color.
Operator: Thank you. Our next question is from Alex Fuhrman with Craig-Hallum Capital Group. Please go ahead.
Alex Fuhrman: Hey, guys. Thanks for taking my question. Good to talk to you. Since we've last heard from you guys in June, a lot of other retailers are talking about weak demand for big ticket items, furniture, in particular. It looks like, obviously, you guys are keeping revenue guidance for this year intact at the midpoint. But are you seeing your customers acting any differently over the past few quarters, maybe opting for cheaper covers or fewer pieces? And just from a high level, how do you plan to market the customers this holiday season, who might be a little bit more cautious with their spending than they were last year during the holidays?
Mary Fox: Yes. Hey, Alex, it's Mary. Thank you so much for your question. So I think your point, as you think about the health of the consumer and the category, I think we're not planning or seeing any material change in the category. It will remain challenging. We'll continue to outperform the category take market share. And if you just think about even our outlook in -- that we shared for quarter three, double-digit growth on top of, obviously, very strong growth last year with a category that's declining double-digits. We're seeing a little bit around the -- obviously, Keith mentioned about promotions a little bit stronger in the category, we're seeing, for example, a little bit more around frequency, but we have baked that into our plans, and we feel really good as we look out for the rest of the holiday. We've been asked before in terms of any trends around trade down. In fact, actually, we're seeing it to be relatively flat or slightly elevated around premium mix upgrades. If you think about Lovesac, think about storage seats, still continue to be a little bit around financing trends versus last year, and we expect that to continue, which again, we have baked in -- so I think for us, it's very much similar to what Keith was saying for next year. We'll see it kind of continuing. We hope for more upside as things start to recover. And we've been the category leader for profitable growth. We talk about this every quarter before COVID, through COVID, through even this year. So whether there's headwinds or tailwinds for the category and the economy, we just continue to perform and driving that market share gain all based on the Infinity flywheel that we've talked about. So we'll be agile. We'll continue to adjust, as Shawn talked about, we're being very thoughtful in terms of prudently managing expenses, but we will drive in every way to gain that profitable market share.
Alex Fuhrman: Great. That’s really helpful. Thank you very much, guys.
Mary Fox: Thank you, Alex.
Operator: Thank you. Our next question is from Matt Koranda with ROTH Capital Partners. Please go ahead.
Matt Koranda: Good morning. Just a couple for me. So I wondered, if you could maybe Mary speak to the Angled Side traction that you've had in recent months since the launch and then Stealth Tech attach rates. Just curious what it looks like in this environment, just given consumers' overall pressured, if you're seeing that change in any material way?
Mary Fox : Yeah. Great. Nice to hear from you, Matt. So yeah, Angled Side, as you know, Super excited with the launch. You heard me talk about that a little bit earlier, seeing very meaningful contribution, and our customers and teams love it. We shared before Star was the number one reason that customers were leaving the purchase funnel. This was the number one silhouette that was ranked for sale and launched the date, we're really feeling good in terms of that great innovation. And I think it's not just in terms of the styles poise. What's been really great is hearing from customers about the comfort level as you sit in the Angled Side Couch. So, just that extra aesthetic choice now, but also the comfort, and we're seeing that with current and new customers. So we're seeing high adoption already, which I shared just over 40%. So I feel really good in terms of the silhouette and just really reflecting our ability to widen the aperture, gain new consumers and even the architectural digest campaign, and they are known as being the number one style leader and furniture was just a tremendous way for us to be able to widen that visibility. Then in terms of Deltek, thank you for that question as well. Customers continue to love it, Matt, and I think you made a note of it in one of your reports being in some of the showrooms I was out in showrooms, even on Wednesday. They love the product experience, and they love the fact it's backwards compatible, which we see as a very unique proposition in the market compared to others. That -- kind of want you to buy something and then a year, two years later, they've come up with a new model, and you have to buy that new model. So as we continue to drive the strong combination of technology, and really that opportunity in that wide space that we will own and drive for many years to come we're feeling really good. So yes, Deltek, certainly for the holidays, we feel really good. So thank you for the questions.
Matt Koranda: Okay. Great, Mary. Thank you for that. And then on gross margins, just curious, I know you mentioned a more promotional environment. Obviously, we're seeing that show up everywhere. But how much of a headwind are you guys factoring in on gross margins from promotions in the second half? I wonder if maybe, Keith could speak to that. And then just in terms of financing, any discernible change in the way that your customers attached to the financing offering that you have? And have those -- I assume those costs have gone up for you guys, but just maybe speak to access to financing among your consumer set.
Keith Siegner: Sure, thanks. And I'm going to do it in reverse order. I'm going to start with the financing piece. So look, it really is a differentiator for us to have this product, the Lovesac credit card we work really closely with our partner on this. And it's definitely an important part of the proposition for us. So from a percentage or contribution to demand perspective, it's up a decent amount year-over-year. In fact, it's up to over a-third of the dollars of demand in the fiscal second quarter, over 500 basis points increase in percentage. The piece that is also impacting our financials right now is the increase in costs, given the higher rates. So we think we still have a very competitive cost with our partner, but it is up year-over-year. That is one of the primary drivers of the year-over-year growth and the deleverage that we're seeing within SG&A. And you heard us outline those -- you heard me outline that earlier. But what we're doing in response to that is we're testing what really makes the difference, right? What is the customer value and what drives behavior with The Lovesac credit card, is it the duration given that we've seen other people shortening duration of their offers? Where do we get the best customer impact for the best cost for us? And so we've been running a bunch of tests in different markets to optimize that. We feel like we're in a pretty healthy spot, particularly here as we head into the all-important fourth quarter. So generally speaking, I think it is working, it's accomplishing exactly what we wanted to, and we continue to fine-tune and optimize that balance between driving sales at optimal cost for us. On the other side of the equation, on the discount side, we are playing around with the discounts, as you heard us mention, we do anticipate those discounts to pick up a little bit as we get into -- well, third quarter was slightly higher than it was in the second quarter, and we expect slightly higher in the fourth quarter than in third quarter. We're talking in 100 basis points here, 100 basis points there. These aren't big numbers or big changes in terms of what it's going to do to our net sales off of MSRP. Again, we've done a lot of A/B testing and let the data drive this. So when you see the gross margins that I provided earlier, you could back into fourth quarter pretty easily, right, because Q3 is virtually done. It's a negligible impact on the overall P&L at the -- from MSRP to net sales. So hopefully, that provides a little bit of color.
Matt Koranda: Yeah, absolutely. Very helpful, Keith. Thank you. And then just last one, if I could sneak one more in. On the showroom growth plans heading into 2025, obviously, you're not asking for guidance here, but I'm assuming those plans need to be pretty well baked at this point in the year, just given the lease timing and everything like that. Just wondering how nimble do you feel like you can be on showroom openings heading into next year if the environment changes for the better or for the worse? Just curious how to think about nimbleness there and plans for next year roughly?
Mary Fox: Yeah. Hi, Matt, yeah, thank you for the question. We continue to look at our real estate strategy all the time. And I think one of the success factors we've always had is around that nimbleness, picking up amazing locations or even slowing down openings. So it will be similar to this year is where we're thinking. But obviously, we'll share more as the year finalizes, because we're still working on some of the leases for next year. I think what's super important as we think about productivity of the showroom if I think about just this year in the new fleet for this year, they're performing above last year. You know, our numbers are super strong in terms of payback in just under a year. So it's a very strong model that we have, and that's the growth on the year before. And we're planning for that to continue to grow for next year. So I think we, unlike many others, we have very small showrooms that are mighty, they drive incredible revenue off a very small space and really also help us with what we see as our superpower, which is that demo and really being able to showcase why Lovesac is just so different to anyone else because it is designed for life and gives you that flexibility. So again, we'll share more at the end of the year, but you can expect very similar to where we have been, and we will continue to obviously watch the macros.
Keith Siegner: Just two quick numbers for you as well. We had -- we're projecting or we had, I should say, nine showroom openings in the third quarter. We've got two in the first period of Q4. We did have one closure in Q3. Most of these are the closures are relocated. So it's funny for me having come from where it was in consumer in the past where it feels like 90% of all the opens happened in the last month of the year. We're actually well ahead of it here. And the same thing goes for next year, stay ahead of it, be thoughtful, be objective in measuring. The fact that we are omni-channel, and we use them as much as awareness drivers really creates a very exciting opportunity for me as well. So disciplined approach to 25%, as Mary said -- and those are some extra numbers for the rest of this year as well.
Shawn Nelson: Yes. I'll tag on to this if that's okay as well. Lovesac showrooms are just a different animal in retail. They really are, and we feel really lucky to have evolved this way and to have, frankly, achieved this scale at this time. I think it's obvious to anyone watching that we've lived through some really unprecedented economic times. And over the last few years, it's been an extremely noisy consumer marketplace. There's plenty of Lovesac sort of copycats out there trying to do something like what we do, mostly online. And in the end when you see those products in person compared to what we're offering, that is just not even close in terms of quality and execution, that sort of thing. But you need to see it in person to really appreciate it because in a photograph, it can look very similar. And so to be -- let's call it, 200 locations ahead of pretty much everyone in that realm. And at a time when investment is more dear, cash is more precious, we will be very cognizant of building cash and building earnings as well, I think most I really think that puts us in a really strong position over the next couple of years, as our business model continues to gain strength. Look at the growth we're putting up compared to the categories. It's just -- the category is down significantly right now. I'm talking really a biz mall falling off going on. I'm being really transparent. Lovesac is growing, and we will continue to grow. And we feel very confident in that. And a big piece of that is that we've got the best product in the marketplace, delivered in the most efficient way. And meanwhile, we don't have big eyes to just put up locations. I've said for a long time, our overall point of view is to have a few showrooms we can get away with. But we need to make the product available to people who are spending $3,000, $5,000, $7,000, $10,000, $15,000 of whack with us. And would love to see this thing one time, because even though they know they can return the product in our return window or whatever. And we're always -- we're just so customer-focused. We always take it back. We'll always work with people and our return rate is relatively low, but who wants to deal with that, right? Consumers aren't stupid. And so these showrooms are super power and the fact they can operate in like 800 square feet with a total staff of five, six people, let alone usually one or two maybe at any given moment in the showroom, there is nothing comparable to what we're doing. There is no analog for that. They are radically efficient, they're radically effective, and we're really proud of the business model that we have evolved into over these many years. And I think at this particular time, it's especially poignant because we have reached that escape velocity where others have not. And then meanwhile, the traditional players are just a completely different operating model. Those that we -- and I don't disrespect them. There are amazing furniture brands out there doing beautiful things but we're not operating on beauty. Our product is beautiful, and we make -- we have great designs and only getting more refined with introductions like Angled Side, et cetera, there's more to come, lots more to come. But we're playing a different game, and it's working really well for us. And I think that all of these strengths are the reason you're seeing this disparity between us and the category, and you will continue to see it. And so we're very proud of that.
Matt Koranda: Super detail and helpful guys. Appreciate it all. Best of luck for holiday.
Operator: Thank you. As there are no further questions, I would now hand the conference over to Shawn Nelson, for closing comments.
Shawn Nelson: I just want to say thank you to all of our investors and partners and all those in the finance community who continue to support our business. And especially thanks to our extended #LovesacFamily and the teams that continue to drive our results. Have a great day.
Operator: Thank you. The conference of Lovesac has now concluded. Thank you for your participation. You may now disconnect your lines.